Operator: Good afternoon and welcome to the Third Quarter 2020 Financial Results Conference Call from VERB Technology Company. Please be advised that this call is being recorded at the Company's request. On our call today are Rory J. Cutaia, CEO; and Jeff Clayborne, CFO. Before we begin, I would like to remind everyone that statements made during this conference call will include forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties that could cause actual results to differ materially. Forward-looking statements speak only as of the date they are made, except as required by law as the underlying facts and circumstances may change. VERB Technology company disclaims any obligations to update these forward-looking statements, as well as those contained in the Company's current and subsequent filings with the SEC. The Company also notes that in addition to these results under Generally Accepted Accounting Principles or GAAP discussed on this call, the Company will also present two non-GAAP measures as supplemental measures of its performance: quarterly recurring subscription revenue or QRR; and annual recurring revenue or ARR. Although QRR and ARR are commonly not used by companies in the SaaS space, neither is a recognized measurement under GAAP and should not be considered as an alternative to the Company's net income. Income from operations or any other performance measure derived in accordance with GAAP as an alternative to cash flow from the Company's activities as a measure of liquidity. I would now like to turn the call over to Rory J. Cutaia, CEO. Rory, you may begin.
Rory Cutaia: Thank you. And I thank everyone for joining us today for our third quarter 2020 financial results conference call. Here is agenda for the call. First, we'll bring everyone up to date on our progress over the past three months. And since this will be the last formal report for 2020, I'll provide some product focused review of the year where we are, how we got here, and then I'll provide some insights into some of the exciting things we have planned for the bounce of this year, and the first quarter of 2021. Next, I'll provide some high level color around our third quarter numbers, which by the way, now represents six consecutive quarters of SaaS revenue growth, half of which we produce during a global pandemic and a collapse in the economy and otherwise very difficult period of time in which we nevertheless enjoyed unprecedented record breaking growth. And while we continue to focus on our underlying bread and butter verbCRM business, we were still able to allocate resources to development of certain new products and services that I'll talk about today that we believe can propel this company into 2021 and beyond. Then I'll turn it over to Jeff Clayborne, our CFO for some scintillating detail around the P&L, balance sheet, cap table with financings and after Jeff's financial presentation, we'll take some questions. So with that agenda for the call, let's get started. I think we all hoped the election would have been behind us by now and all of the uncertainty that evokes but unfortunately, we remain a divided nation navigating uncharted post-election waters with the impact on the economy and the markets still to be determined. COVID-19 continues to dominate redefining every aspect of our personal and professional lives. And if we had $1 for every time I hear the phrase, the new normal, I'd ask the board to declare a dividend and distribute a fortune to our shareholders. And while I have no illusions that the world will become a safer, friendlier, more inclusive or at least a less divisive place anytime soon, I nevertheless have an extraordinarily high level of confidence and optimism about our company, our business and our prospects for meaningful growth. Yes, we're all familiar with the philosophy that difficult, challenging times are really just new opportunities waiting to be uncovered and I certainly subscribe to that, but this is not that. This is really more than that. You see, I may not have great visibility on what lies ahead for our country, the economy or the world at large. But I do have great visibility on what lies ahead for VERB. What many people may not realize is that, what we're reporting today and what we'll report next quarter and the next are based entirely on choices we made as a company a year ago, on strategies and planning we put in place long before these things come to market, and long before they are reflected in the revenue line on our P&L. Some of those choices and strategies were permitted to share as and when they were adopted and development and developed. And as I always, sometimes to my detriment up for greater transparency, though some choices are not yet disclosable for a variety of reasons. But the passage of time does indeed provide a great barometer against which we can validate and measure the choices we've made as a company. And right now, that barometer that serves to bolster my confidence, I'm witnessing the progress we've made and making toward the numerous initiatives we've undertaken, that I believe can translate into the hyper growth I referenced in our last earnings call that I intend to deliver, some of which I'd like to share with you today. But first, let me provide a bit of context. While we are a NASDAQ listed company in achievement, we're really very proud of, we're still very much an early stage company and unlike much more mature companies, nothing about our businesses on autopilot. We're up to 185, some odd verbTEAMS members now, and all of us are in it working hard every day. And we're not letting COVID-19 or anything else get in our way or slow us down. Sure, we've had our share of setbacks and delays and disappointments and we've made our share of mistakes, all of which I take full responsibility for. But we've also had our share of breakthroughs and successes and triumphs, all of which I tribute to my team, which by the way, as you may have noticed, continues to expand with some serious talent brought on specifically to lead some of our bolder initiatives. And so, I feel confident stating that the greatest successes and triumphs lie ahead. And when I put that big forward-looking statement parentheses around some of these words, let me provide some background. One year ago, I announced a bold initiative for 2020, a novel groundbreaking technology for which we had developed a working prototype that I believe then, but never more so than I do now, would produce enormous value for our shareholders. It was a true interactive live broadcast video, designed for use by anyone, not just technical wisdoms, a technology that would empower a new e-commerce paradigm we called it verbLIVE. It evolved from an earlier plan to build that capability to Facebook Live. As development progressed, the cooperation we expected from Facebook didn't materialize. So, we switched gears to build our own platform to support the interactive live streaming commerce. But based on the scope of work, a feature set that we envisioned for that product and the fact that we were able to stand up a solid prototype, we believe we could deliver it in the first quarter of 2020. The truth is, we didn't know we didn't know. And as development proceeded, and as the market began to contemplate the enormous, far reaching implications and the technology, we realized there was so much more of final product release needed to include and much to the dismay of those of you who really anxiously awaited the release of verbLIVE and its associated expected revenue stream. The release of the final product continued to be pushed, while we refined it, ready did for global release, and hardened it to accommodate substantially more simultaneous users and many of today's popular webinar products will accommodate. As I've said many times before nothing, nothing truly great is easy and verbLIVE was no exception. It's been hard. But oh, so worth it, and here's why. The market at large has now begun to catch up. There are more and more articles appearing in mainstream press, about the coming savior of retail, livestream e-commerce which of course, is the vision that we laid out more than three years ago, before anyone even contemplated a consumer level interactive livestream broadcast product. It's now a product that sells itself. I've already talked about the backlog we have a waiting a broad based release. verbLIVE is the type of app that has the ability to go viral and attract users with little to no intervention by us, because the very use of it by users attract other users. That's how I define the viral factor. The work we've done on verbLIVE we always learned along the way has opened our eyes to possibilities for carload products and value creation opportunities. In fact, an entirely new platform a new vertical, that we believe will usher in an entirely new era that is far beyond what we had previously envisioned. And as best as we can determine so far beyond what anyone else is currently contemplating, which is why we're keeping some of these things tightly under wraps. So we set out to dedicate 2020, to laying the foundation to support these new and as yet undisclosed initiatives that are big, old, truly audacious undertakings that I believe we can, and we'll deliver in 2021. But now as we're getting closer, I began assembling the teams that are capable of delivering these initiatives and bringing them to market. So far, you've only seen the new members with big titles that we're obligated to disclose in 8-K filings and press releases. So you know we're attracting some really serious talent. And there's a reason these people could go anywhere. There's a reason they want to be here. However, unlike what I did with my early perhaps premature disclosures around verbLIVE, for competitive reasons, I'm going to refrain for the time being from disclosing anything more about these projects. Bear with us, bear with us on these things, you won't be disappointed. For those new to our company and apparently the data shows, we added a significant number of new investors again this past quarter. Welcome to VERB. You should know that we make it a point to be available and accessible for questions, comments and other input from our shareholders, who we consider to be our co-owners. And you can expect to be treated as such. So, even when if you don't get a chance to ask a question today, feel free to send us an email and we'll be sure to respond. For our loyal long-term shareholders, this is for you. I apologize for having been less visible less Shaq videos less vocal over this past year that I've been in the past when I was providing regular and consistent video updates. But you see, we've been heads down, executing at a furious pace. As I told you, 2020 was the year we laid the new foundation and short it up. And right now, right now we're in our groove. We know exactly where we are and where we're going. All of us, all 185 of us, we see clearly what lies ahead. And we can't wait to get there. And we haven't forgotten that so many of you have been on this journey with us. You've been through the ups the downs, the seemingly endless periods of stagnation in the price of our shares. And even though you don't know what we know, you don't see what we see. You stuck it out with us. So I want to say that we appreciate you, we feel and because you've placed your trust and confidence in us, which I'm sure has been shaken and from time to time. Well, you make us want to deliver those results even more. You inspire us, you drive us. And we want this as much for you, if not more than we want it for ourselves. You've been patient, you've been supportive. And we want you to know that all of us are at that VERB are working really hard to reward that patients. So let me share some things that we're excited about. Let's talk verbLIVE. In our last earnings call, I walked you to the total addressable market of more than 460,000 users that comprise the list of clients that have already signed up for verbLIVE during our pre launch earlier this year. And I told you that even if we only picked up 10% of them. Again, these are users from companies that have already committed to verbLIVE as soon as we can release it. We generate meaningful monthly recurring revenue. I believe we talked about something north of $5 million a year of recurring revenue from that pool of users. I call them the low hanging fruit. I told you, we needed to shore up the platform to accommodate the higher than originally projected number of users on the platform. So let me explain that a bit. If you take a look at any of the popular Big Boy video conference platforms out there, you'll notice that they limit the number of viewers on a webinar to 250. Well, we have a client that wants to host verbLIVE events with 45,000 viewers. We have another one wants that wants to host a verbLIVE event with 1,000 viewers. They've looked at all the other platforms out there. These are $1 billion enterprises, but they want verbLIVE, they want our innovative industry first features and functionality. So we need to get this right. We don't want the platform to become overloaded and crash it. And again, we don't know how rapid the adoption and user rates will ramp. But given the backlog and pent up demand, we have to be prepared for rapid growth. Well, I'm happy to report that we now project the broad release of verbLIVE first to the backlog and then to everyone else in December. That's just coming up here a few weeks. We're planning on a series of cyber Monday promo events with several of our first customers to get verbLIVE to kick things off. And we'll keep you informed through our normal media and marketing channels. Okay. So that's great news for shareholders as it's been a long time coming. And if the results are anything like we expect, there will be a lot to celebrate, but there's more. Let's talk about execution. Let's talk about delivering the goods. I've talked about our pursuit of hyper growth initiatives, but intentionally didn't share more details until now because these are now at the point, where they're no longer a year away. In fact, some are not even a month away. Don't ask me for specific dates. I've fallen into that trap far too many times. But I wouldn't be talking about them, if I didn't believe that they weren't imminent. This first one is another industry's first an amazing verbLIVE feature, we've kept under wraps until now. And yes, I've been severely criticized for over sharing or sharing too soon. I've heard some say I hyped products. But look, if I'm genuinely excited as heck about things we're working on to bring to market and I want to share like co-owners. That's not hype. It's just honesty. It's just transparency, which many investors just find hard to recognize. So, I probably shouldn't say anything until it's already in the market generating millions of dollars. But honestly, I just can't wait any more to share it. So say what you will. Here we go. All right, we call this our attribution feature and let me tell you why it matters. Why I call it one of the hyper growth initiatives for VERB. And I credit our own McKinley Oswald with the original idea for this one. So pitches, suppose I'm planning on hosting a verbLIVE event to promote a book and sell my new book, which I definitely will write at some point. So I send a verbLIVE invite all my contacts and a post on social media to attract the largest audience I can. But my list of contacts isn't that big nor is my social media following, but I know a few big name influencers with massive followings. So with our new attribution feature, I can call them and say hey, you know what, I don't really have a big gigantic massive following. So I want to sell my book. I'm going to call a few big time influencers that I know that have these massive followings, right? And with our new attribution feature, I'm going to say look, share my book sale verbLIVE event with all your followers and I'm going to pay you a percentage have each book sale made to each of your followers that joins my verbLIVE event and buys my book. Is that cool? I think about that. So now think about in the context of direct sales components. So our hosted events, all the members of my team will invite their prospects to watch it and my team members get credit for every sale to their prospects that they invited to my event. Well, that's what we're expecting to launch web. Because we already have a massive built in audience for it, you'll expect to see that in Q1. That's our attribution feature. As big as we think that can be right out of the gate and direct sales, just think about the implications of that feature outside of direct sales. Think about how that could drive adoption and subscriptions for verbLIVE. So that leads me to the next type of growth initiative. As many of our enterprise clients are in the direct sales space, we know very well how that model can support massive rapid growth. Well, a corollary to the direct sales model is the affiliate marketing model. Affiliate marketing has actually been adopted by companies like Shopify, among many, many others who you know, who will pay a monthly recurring fee for anyone that refers clients and customers to them. In fact, the data shows that many of these companies that are not by any means considered direct sales companies well they experienced the greatest rates of growth upon adopting a well-structured affiliate sales program. So I'm proud to report that for the past year, we've been hard at work developing our own affiliate sales program. It began by recruiting top affiliate sales talent to design, develop and manage the program and now it's scheduled to launch in January, with the release of the standalone version of verbLIVE. All right, you ready for more? Okay, you've heard me talk about how verbCRM isfor the most part, a white labeled enterprise sales tool that requires an on-boarding process involving custom work and back office integrations, which can sometimes be a lengthy process, a process that places more distance than we like between the data contract is executed and the date we're able to recognize the revenue under GAAP rules. I talked about how we want it to move to a completely self-service model, with self-signup, self-on-boarding, self-configuring, best-in-class content management system capabilities, great user level administrative capabilities, and great industry leading analytics in both mobile and desktop platforms that sync with one another. And how about this, a super slick one click sync feature that syncs immediately with Salesforce rightly app because with that architecture, we could scale much more rapidly, we could lay the foundation for hyper growth. And what if we could even incorporate verbLIVE and that platform, that would really be great, wouldn't it? Well, we've done just that, we call it verbTEAMS. And it's actually available right now, on our website. It offers a 30-day free trial, and I encourage all of you to check it out. This is not the slimmed down proof-of-concept beta that we've shared with you previously. This is the real deal, guys. Congrats to Denise Butler and her team for getting this done in time for today's presentation. Okay. Next, many of you have asked about the acquisition of SoloFire we did a couple of months ago. Well, much of the underlying technology for verbTEAMS came from the SoloFire acquisition. Although, I still say the greatest assets we got in the SoloFire acquisition were the people and amazing group, super motivated, very talented individuals that had been a great addition to the VERB family. For those of you who will undoubtedly ask how much of the revenue we reported in Q3 and will report in Q4 is from SoloFire. The answer is actually very little, approximately 3% and not because they didn't have any far from it. As you know, we closed the acquisition in September, so most of the quarter was already over. And as a result, you wouldn't really expect to see revenue to have had any meaningful impact in what we're reporting today. But there's actually another much bigger reason. First, because I know you will also ask, SoloFire was a virtually breakeven business that provided no really meaningful increase in our overhead and they're on target to do approximately $1.1 million to $1.2 million this year, which really would have added a nice lift to our quarterly numbers, but is it somewhat obscured GAAP accounting rule that impacts how deferred revenue is recognized by an acquiring company. So unlike our business in which we build large enterprise clients on a monthly basis and recognize the revenue monthly as we render the service, SoloFire bills their clients annually. So onto GAAP revenue recognition rules, they can only recognize 1/12 of that revenue each month as the balance is booked as deferred revenue. However, according to this obscured GAAP rule, when that company is acquired, the entire balance of that deferred revenue that you look forward to recognizing each month is simply removed from the deferred revenue account and just booked as goodwill. So all the deferred revenue sitting on SoloFire's books just before the acquisition, a portion of which we would have liked to show up in our P&L each month post acquisition, it simply disappears for GAAP reporting purposes. Yes, I can almost see some of you scratching your heads right now. That's why you won't see any meaningful revenue from SoloFire showing up in our revenue reporting this year. I thought I'd take the time to explain that, as I know, even many sophisticated investors looking at the financials for the bump in revenue from SoloFire aren't aware of that rule. So bottom line, while SoloFire has had a great year, a great third quarter, and it looks like they're going to have a great fourth quarter, we won't be able to recognize any of that SaaS recurring revenue this year. But we expect to enjoy a nice bump next year as those contracts continue to renew. As you may know, their businesses entirely enterprise based sales and the life sciences sector. And we've added quite a bit of rocket fuel to marketing that business. So they're now trying to respond to a massive influx of leads from that sector, which again will contribute nicely to our bottom line next year. And yes, they began introducing verbLIVE to their clients who look forward to adding into their respective platforms in the coming months. Next to us to our Japan operations, which continued to perform, we're launching four major clients on verbCRM over the next eight weeks and we're scheduled to launch a sampling feature in Japan and Taiwan and Korea over the next 90 days. Like the Salesforce partnership, as many of you know our verbLIVE integration with Salesforce a few months ago and October 1, we began our joint marketing work with Salesforce. Let's taken them a few weeks to create the marketing materials they wanted to use. And they launched it a couple of weeks ago to their existing user base. Some of you have told us that you've seen this social media posts, mentioning VERB which is quite nice. Well, there's an upcoming customer event they planned. It's actually a competition in which we're being featured that we're really very excited about. It's called the November Demo Jam. And it's at 1 pm Eastern on November 19th. And you can even go to it and watch it and vote for VERB. So come out and show your support at appdemojam.com. Again, that's appdemojam.com it's at 1 o'clock eastern on November 19th. We're going to be featured alongside Adobe, Seismic, Smartsheet and Prolific. And I'm really excited about that. So please come out support us vote for us. I expect to have some data points around their overall initiative next month. And finally, among our big growth catalysts, I'm proud to report that we expect to have our integration with Microsoft Outlook completed before the end of the year with an official launch not long thereafter. I can't wait to show you some of the marketing materials we've already done around that launch absolutely killer. As some of you know there's over 1 billion outlook users worldwide. And at a time in this world when everyone wants to consume and share information through videos, what percentage of those users do you think would like to click right in the outlook toolbar and create an interactive video message to send through outlook instead of typing an email or launch right into a verbLIVE session, right from within outlook? I bet there's going to be more than a few. As I said I wanted to share some of the marketing and pitch materials that we've put together including the one from Microsoft. So go to verbshowcase.com and check out the videos, you're going to be really impressed. Again verbshowcase.com, it's just a temporary site we put up for this for our investors. So check it out there while it's still available verbshowcase.com. And yes, there's more much more, but as I've said before, I'm going to play those close to the vest right now. I think we've delivered a lot for everyone to chew on and be excited about right now, while we keep working to bring the big ones behind the scenes closer to fruition in the coming months, if not sooner. All right, so let's turn to the third quarter results, which show the continued growth in the underlying SaaS business. And as I said before, we've achieved six consecutive quarters of SaaS recurring revenue growth. And you're going to hear me say that again before this is over. And I'm also happy to report that we even beat the preliminary guidance about our third quarter results that we released a couple of weeks ago, on November 2nd. As usual to provide a complete picture of the business, I'm going to discuss and compare the GAAP recognized quarterly recurring revenue reflected on our current 10-Q against prior periods. I'm going to share the number of new client contracts we executed in the quarter, and I'm going to share the annual recurring revenue we expect to generate from those new contracts. So starting with Q2 of 2019, which was the first full quarter we reported post-NASDAQ listing and the launch of a verbCRM app and continuing through Q3 of 2020. Here's our quarter-over-quarter SaaS recurring revenue growth as recognized by GAAP and reflected in our filed financials. 2019 Q2 was $858,000, Q3 was $953,000, Q4 was $995,000, 2020 Q1 was $1,057,000, 2020 Q2 was $1,274,000, and third quarter 2020 is $1,478,000. That's six consecutive quarters of SaaS growth. Yes, said it again. Again, these numbers represent the GAAP recognized SAS revenue, as reported on our financials as a component of our digital revenue. So, comparing these results to last quarter, SaaS revenue of Q3 and Q3 of $1,478,000 which is up almost 16% over Q2, which was a record breaker, if you recall and reflects growth of almost 55% over the same period last year. Total digital revenue two three of $1,838,000, up almost 10% over Q2. Total non-digital revenue of Q3 of $1,022,000, up almost 5% over Q2, and total combined revenue of Q3 of $2,860,000, up almost 8% over Q2. In Q3, we executed 16 new point contracts, that's not quite the '20, we signed in Q2, not that unusual over the summer of COVID. But it is up almost 46% of the number we signed in Q1. The base value of those contracts $834,000. I say base value because base value only represents the minimum monthly guarantee over the life of the contract and during the upcoming months. And over the life of the contract, we expect the individual users will add additional services and features such as verbLIVE, and the corresponding revenue that's not actually reflected in these numbers. It also represents $474,000 of annual recurring revenue. A couple of other notable data points, we're now at 1.65 million user downloads up from 1.49 million as of August 15th. I've said this before it's worth repeating our digital revenue is very high margin business with gross margins above 80%. And now it continues again this quarter to be the largest and fastest growing component of our total revenue. This revenue also commands the highest market multiples to calculate market value for the business and the corresponding per share value. When we think of the underlying business fundamentals, which in our view is the source of true market value. This is what we focus on and this is what we believe value investors focus on. So, the growth of our SaaS business of almost 55% over last year and almost 60% of last quarter alone, I'm proud to report that our value creation initiatives are continuing to produce measurable, quantifiable and accelerating results. And finally, before I turn it over to Jeff, I want to reiterate our commitments that the heart and soul of our company of every individual that comprises this great company will continue to be reflected in our socially conscious initiatives, not just rhetoric, but real action and real results which you can see on our VERB for Humanity website. As I discussed last quarter each of us has an obligation to do what we can do to make this crazy world a better place for our children, better than the one we inherited. Fortunately, more and more investors are taking ESG scores into account when contemplating an investment. ESG stands for Environmental, Social, and Governance, and public companies are now being weighted based on their ESG initiatives. According to NASDAQ, ESG information is no less relevant or useful to an investor and assessing the financial prospects and operational performance of a company than information channeled through traditional accounting practices. In fact, 76% of NASDAQ listed companies now report at least one ESG metrics on an annual basis and we're proud to be among them. Please take a look at our most recent socially conscious initiatives on our new VERB Humanity website. I'd now like to turn the call over to Jeff Clayborne, our Chief Financial Officer for more detailed review of our financial results.
Jeff Clayborne: Thank you, Rory, and good afternoon everyone. I'd like to review the financial highlights as included in our Form 10-Q file today, November 16, for the quarterly period ended September 30, 2020. As Rory has discussed, we have been focused on growing our SaaS recurring subscription revenue. Total SaaS revenue for Q3 totaled $1.5 million, an increase of 16% and the $1.3 million reported last quarter and an increase of 55% for the $953,000 reported for the same period last year. Total digital revenue for Q3 totaled $1.8 million, an increase of almost 10% from the $1.7 million reported last quarter and an increase of almost 28% from the $1.5 million reported for the same period last year. On a pro forma basis, total SaaS revenue for the first nine months of 2020 totaled $4.5 million, an increase of 33% from the $3.4 million reported for the same period last year. On a pro forma basis, total digital for the first nine months of 2020 totaled $5.7 million, an increase of almost 20% in the $4.7 million reported for the same period last year. Looking at our operating expenses, we continue to add resources to our product team to support development of verbLIVE plus enhancements to verbCRM, and to our core platform to facilitate native integrations with Salesforce, Microsoft and other channel partners. Research and Development for Q3 total $2.4 million, an increase of approximately 98% from the $1.2 million reported for the same period last year. On a pro forma basis research and development for the first nine months of 2020 totaled $5.3 million, an increase of 40% for the $3.8 million reported for the same period last year. Now, we've had increases to general and administrative expenses attributed to increase labor to support growth plus retention bonuses pay through SoloFire employees and an increase in stock compensation expense to support growth plus the shares granted to employees and consultants that was part of our payroll reduction plan, an increase in professional services primarily related to the acquisition SoloFire and we had an increase in facility costs at our offices in Newport Beach, California. General and administrative expenses for Q3 totaled $6.7 million, an increase of approximately 102% and a $3.3 million report in the same period last year. On a pro forma basis, general and administrative expenses for the first nine months of 2020 totaled $14.9 million, an increase of approximately 42% for the $10.5 million reported in the same period last year. As of September 30, 2020, cash totaled $10.7 million. Our total assets were $42.6 million total liabilities were $20.8 million, and stockholders' equity was $21.8 million. We had a couple notable changes to our balance sheet in 2020. We added $1.9 million in a notes payable as part of the acquisition SoloFire that was paid off on October 1 2020, plus we added $1.5 million in long term debt, of which $1.2 million is a Paycheck Protection Program loan that we believe will be completely forgiven that I'll discuss in further detail in a moment. Plus $150,000 associated with an economic injury disaster loan payable over 30 years. An additional Paycheck Protection Program loan of $90,000 we inherited from the SoloFire acquisition. We had a couple classification changes as 1.1 million of long-term related party debt and 521,000 deferred incentive compensation is now classified as current. As Rory mentioned earlier, we've also been incredibly focused on properly capitalizing the Company provide necessary growth capital and to manage the social and economic uncertainty. Some of the financing initiatives that occurred in the first nine months of 2020 are as follows. On February 5 2020, we initiate a private placement for the sale and issuance of up to 5 million restricted shares or common stock at a per share price of $1.20 which represented a 20% discount to the then current $1.50 closing price of our common stock on the day the offering was priced and is memorialized by executed subscription agreements. As a result of this private placement a total of 4,237,833 shares of common stock were subscribed for an issued for net proceeds of 4.4 million after direct costs. On April 17, 2020, we receive loan proceeds in the amount of approximately 1.2 million under the Paycheck Protection Program or PPP. The PPP established as part of the coronavirus aid relief and Economic Security Act provides for loans to qualifying businesses for amounts up to 2.5 times, the average monthly payroll expenses of the qualifying business. The loan and accrued interest are forgivable after the earlier of; one, 24 weeks after the loan disbursement date; and two, December 31 2020, as long as the borrower uses a loan proceeds for eligible purposes, including payroll, benefits, rent and utilities and maintains this payroll levels. To the extent any portion of the loan is not forgiven is payable for two years and an interest rate of 1% with a deferral payments for the first six months. We have used and will continue to use the proceeds solely for the expenditures strictly in compliance with the terms of the PPP. On July 24 2020, we closed our public offering and the Company issued and sold 12,545,453 shares of common stock, which includes 1,636,363 shares of common stock sold pursuant to the exercise by the underwriters of an overallotment option for gross proceeds of 13.8 million. Our net proceeds totaled 12.3 million after deducting the underwriting discounts commissions and operating expenses. As of today, there are 46,693,790 shares of common stock issued outstanding of the total number of common shares issued and outstanding, approximately 4.5 million shares or approximately 10% are owned or controlled by management and board members. I'd like to turn the call back over to the operator for Q&A. Operator?
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Brian Kinstlinger with Alliance Global Partners. You may proceed with your question.
Brian Kinstlinger: My first question is on verbLIVE. I think although I was late to the call. You mentioned its launch. I just want to make sure that the official launch and not a soft launch. I didn't see a press release, which I thought we would? And then can you talk about the revenue model, is this revenue per seat per month and excel what price should we be thinking about?
Rory Cutaia: Yes, I talked about that, Brian, earlier in the call before you came on. So, we're pretty satisfied now that we've been able to harden the platform and ensure that we have the degree of scalability for simultaneous users on a global basis now. As I mentioned in our last earnings calls, we were concerned that the rate of adoption and the rate of growth around that might challenge the platform, but I feel pretty good about it now. There is some final testing happening because I have these guys on it every single day. And we do have a growing, growing backlog of users who will absolutely challenge the platform. So at this moment, it looks like we're just a few weeks away now from the launch, the official launch globally with all of our clients. We'll put our direct sales clients on it first because as I said that's low hanging fruit. These guys will be signed up in this, really a ton of those. I also mentioned in the call that we're going to be doing a cyber Monday launch with a handful of our clients as a way to really kick off verbLIVE. So, we're pretty excited about that that's coming up. In terms of the revenue model, it's a SaaS model. It's a monthly recurring fee. If you are a verbCRM existing subscriber, then you will have a premium opportunity to pay. I think it's $4.95 a month on top of your other subscription. So, that's the current plan.
Brian Kinstlinger: And did you mention how many, you said, you have a bunch of customers have already signed. You have maybe a figure for how many seats you already have signed up for once it's ready to go in the last few weeks, so maybe the year that you can get on the platform?
Rory Cutaia: Yes, that's another metric that we spoke to. We've got 17 some odd. I think actually, there's more now. Clients that have signed up, those are enterprise clients. Their user base among them is somewhere north of 460,000 individual users. And as we roll it out, we'll see what kind of adoption rates we get. We're pretty optimistic, but I think for purposes of sort of trying to set expectations we are assuming just for modeling purposes. Let's assume we only get 10% of those. And frankly, I think we're going to get more, but I think for modeling purposes, that comes out to if you're looking at annual recurring revenue somewhere north of $5 million of annual recurring revenue get you headed?
Brian Kinstlinger: Now, just from some of your old prices curious. Is the enterprise taking on that 4.95 per month charge? Or is it the user and employee who is taking on that charge or does it vary?
Rory Cutaia: It varies. We are finding a great deal of success in a model whereby corporate enterprise pays a flat fee. And then the balance is paid by the individual users. So we're seeing greater adoption and acceptance of that we feel pretty good about it. But you joined after I spoke about verbTEAMS, Brian, which is a new product, which addresses some of the things that you and I have spoken about. In the past, that's a completely self serve, self on-boarding, new platform that we launched today, that you really, really need to take a look at Brian, and you might want to think about incorporating that.
Brian Kinstlinger: And then switching to a different product, I know that you've slowed the rollout in app purchasing, given your focus and verbLIVE. But if you could just discuss in our purchasing, how many customers have you rolled this out to? Are you continuing to roll out in the fourth quarter? Just something about its contribution to business and expectations of how you plan to move forward with this?
Rory Cutaia: So yes, we've begun rolling that out. We've got a couple of applications in there. I think that our focus, as I think everybody knows, has been really on getting verbLIVE because that's going to give us the biggest bang for our buck. And as we're spending our development resources on hardening that platform, you're right, we did slow that down a bit, but you could expect to see that pick up in a pretty big way beginning in January.
Brian Kinstlinger: And then overall enterprise customer additions for the traditional product. Can you talk about what they were in the third quarter compared to the second in the first quarter?
Rory Cutaia: Yes.
Jeff Clayborne: Brian, this is Jeff. So, we have 16 enterprise clients in the third quarter compared to 20 enterprise clients in the second quarter. And we did 11 enterprise clients in Q1.
Brian Kinstlinger: And lastly, for me, you may have aggressive so I'm sorry. Can you give trailing 12 months revenue for SoloFire? And just to be clear, is that also a recurring SaaS revenue model 100%? Or is there some non-recurring revenue in there?
Rory Cutaia: Hey, Brian, the cash flow mark was just north of $1 million trailing 12. Now their revenue is all SaaS. Unlike us, all their contracts say what you mentioned in the further call they build all their contracts, one year contracts they done in advance.
Brian Kinstlinger: And can you talk about I guess I have one more question. Since it's one year contracts, what's the traditional churn they know this business?
Rory Cutaia: Very small, they maybe lose one or two logos. We will call logo annually. But obviously, it's a positive net charge for them.
Brian Kinstlinger: Great, thank you so much.
Rory Cutaia: One thing I would add to that, Brian, we're really beginning to see some big logos, big businesses join this. This quarter, we added Market America, which is huge, huge enterprise. And we also added Shaklee, which I think we have a press release that we'll see pre market tomorrow, so a couple of big ones. The thing about Shaklee, that I think is interesting, not only are they I think among the top 10 in terms of size, to access companies in the world, which is a big win for us. Obviously, that was a competitive situation. But the other thing that's really cool about the Shaklee thing is that we've created an integration for verbCRM into Salesforce and because Shaklee uses Salesforce as their CRM for their entire organization. And they wanted the features and functionality of CRM to sync with Salesforce. So, we build that. That's going to be a great model for us going forward with our other clients that we've done that.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Rory J. Cutaia, for closing remarks.
Rory Cutaia: Well, thank you all very much for taking the time to listen to talk us talk about VERB. We are in a crazy time in the world guys. It's just -- there's so many things that are going on right now that are impacting our lives. But as I said in the beginning of the call, now, we are so optimistic about what's going on with the business right now. The things that we've done in 2020 introducing verbTEAMS, I know that was a big surprise for a lot of you guys. That's the ability to self-onboard, right on the website and all the features of that that has the one click sync with Salesforce, verbLIVE is in it. That's a really, really exciting new product for us. And it's actually out there now. Please take a look at it. Some of the other initiatives that we talked about the hyper growth things, guys we're delivering. We are not stopping. COVID nothing is slowing us down. We are really firing on all cylinders. So, 2021, I am very, very excited about it. I also asked you guys please go check out that website. I gave you the address. [Lilly] what was the website?
Unidentified Company Representative: Verbshowcase.com.
Rory Cutaia: Verbshowcase.com. Take a look at that video about what the Microsoft Outlook Integration is going to look like, it does roughly right. But we're going to try and finish the product, make it look as close to that as possible. It's killer. It's crazy. So yes, I'm excited, and I do my best to temper that excitement, but it's hard. Honestly, I really feel so proud of my team and thank you for hanging out with us through this crazy time. I think we're going to do really, really well together. Enjoy the holidays. Talk to you soon.